Operator: Good morning, ladies and gentlemen, and welcome to The Bancorp Inc.'s. Q4 and Fiscal 2022 Earnings Conference Call. [Operator Instructions] This call is being recorded on Friday, January 27, 2023. I would now like to turn the conference over to Andres Viroslav. Please go ahead.
Andres Viroslav: Thank you, operator. Good morning, and thank you for joining us today for The Bancorp's fourth quarter and fiscal 2022 financial results conference call. On the call with me today are Damian Kozlowski, Chief Executive Officer; and Paul Frenkiel, our Chief Financial Officer. This morning's call is being webcast on our website at www.thebancorp.com. There will be a replay of the call available via webcast on our website beginning at approximately 12:00 P.M. Eastern Time today. The dial-in for the replay is 1-877-674-7070 with a confirmation code of 735961. Before I turn the call over to Damian, I would like to remind everyone that when used in this conference call, the words believes, anticipates, expects and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties which could cause actual results, performance or achievements to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp's filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements which may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now, I'd like to turn the call over to The Bancorp's Chief Executive Officer, Damian Kozlowski. Damian?
Damian Kozlowski: Thank you, Andres. Good morning, everyone. The Bancorp earned $0.71 a share in the fourth quarter, driven by 28% revenue growth, while expenses were approximately flat year-over-year. GDV, gross dollar volume, transaction growth accelerated to 30% year-over-year, driven by continued double-digit growth in most categories. Core loan growth, which excludes loans previously generated for securitization, was 4% quarter-over-quarter, led by floating rate CRE multifamily with 12% growth. Year-over-year core loan growth was 45% with 168% growth in CRE multifamily; 22% growth in Institutional, which includes SBLOC and IBLOC, plus IRA financing; and 14% growth in commercial, which includes fleet leasing and SBA loans, excluding PPP loans. Net interest margin grew dramatically quarter-over-quarter from 3.69% to 4.21% compared to 3.51% in the fourth quarter of 2021, driven by the impact of Federal Reserve rate hikes. Efficiency and productivity continues to be a key focus of management, with expenses approximately flat year-over-year. ROE rose significantly over prior periods to 24%. 2022 was another year of strategic and financial progress for The Bancorp. We continue to improve our ecosystem for our fintech partners while investing across our platform to improve functionality and efficiency in all business lines. 2023 should show continued financial and operational improvement with a focus on continued rigorous risk management and credit oversight. In addition, our focus in '23 will be determining our next strategic steps as a company. After having established exemplar performance, we are now turning our attention to major initiatives, which will sustain profitability and growth as we approach the regulation II, Durbin balance sheet limit of $10 billion. We believe that TBBK's unique capabilities can be monetized more broadly and that the $10 billion limit will not limit our ability to generate increased profitability. This incremental profitability will be generated from fees by distributing both assets and liabilities. GDV growth and the sale of unique technology services and other platforms that will drive sustained EPS growth and ROE. For 2023, we are confirming our guidance of $3.20 a share, not including the net impact of share buybacks of approximately $25 million a quarter or $100 million for full year. We will update our guidance as we learn more in the coming months. However, we believe our guidance is attainable even, even with significant economic ambiguity and potential stress in the macro environment. I now turn the call over to Paul Frenkiel, our CFO, for more details on the fourth quarter and full year '22.
Paul Frenkiel: Thank you, Damian. Return on assets and equity for Q4 2022 were respectively 2.1% and 24% compared to 1.7% and 17% in Q4 2021. These increases were significantly driven by a 47% increase in net interest income. In addition to the rate sensitivity of the majority of our lending lines of business, management has structured the balance sheet to benefit more from a normalized and higher interest rate environment. Accordingly, over a period of years, it is largely allowed as fixed rate investment portfolio to pay down while limited purchases were focused on variable rate instruments. Additionally, the rates on the majority of loans adjust more fully than deposits to Federal Reserve rate changes. Accordingly, in Q4 2022, the yield on interest-earning assets had increased to 5.9%, while the cost of deposits had increased to 1.7%. These factors were also reflected in the 4.2% NIM in Q4 2022 which represented a significant increase over prior periods. The provision for credit losses was $2.8 million in Q4 2022 compared to $1.6 million in Q4 2021. The $2.8 million included an upward adjustment of approximately $900,000 in the qualitative economic factor in our CECL model, which is forward-looking, to the extent that economic uncertainties resulted in the future, a reversal of that provision component would result. Conversely, deterioration in the economy could result in additional forward-looking provisions. Prepaid debit and other payment-related accounts are our largest funding source and the primary driver of noninterest income. Total fees and other payments income of $22 million in Q4 2022 increased 10% compared to Q4 2021. Noninterest expense for Q4 2022 was $43 million, which was comparable to Q4 2021, a decrease in legal reflecting the resolution of various matters and a decrease in salary expense offset increasing FDIC insurance and travel expense. Book value per share at quarter-end increased 10% to $12.47 compared to $11.30 a year earlier, reflecting retained earnings, partially offset by fair value adjustments to the investment portfolio resulting from the higher rate environment. Quarterly share repurchases should continue to reduce shares outstanding. I will now turn the call back to Damian.
Damian Kozlowski: Thank you, Paul. Operator, could you open the line for questions?
Operator: Will do. [Operator Instructions] Your first question comes from Frank Schiraldi.
Frank Schiraldi: Wondering if you guys could -- good strong quarter on GDV growth year-over-year. I guess, really, you have been guiding to something along these lines but just your thoughts on runway from here? And how much of that translates through to card fee income growth?
Damian Kozlowski: Yes. I think this was a very good, normalized quarter. We had the stimulus. We never gapped down and we've been building all year back to trend. So we had 1%, I think it was 5% and now we're at 13%. I think you're going to see this range, 12% to 15% GDV growth going forward this year. I think you're going to see around 9%, 10%, maybe even 11% translation into fees year-over-year. And that was before -- that was kind of the trend before the big stimulus bump. So very encouraging. When we look at our pipeline, we've got some real successes in corporate payments that have ramped up very quickly. So it looks like it's going to be at that level. Hopefully, we'll get a bit more, but it looks like it's going to be a strong year.
Frank Schiraldi: Great. And then just on loan growth, the SBLOC, IBLOC portfolio growth has slowed a little bit, certainly over the last couple of quarters. And I just wondered if you could talk about your outlook for growth in that portfolio?
Damian Kozlowski: Yes. That is what is likely to happen, what we've seen it before. When you get this rapid -- I mean this is historic but I mean you get a rapid change in -- on liquid borrowing so quickly that people get a little thicker shock. So it's a little bit encouraging that we were only down 1% to be honest. And there were more payoffs but were offset by more originations. So that should, by the middle of the year when interest rates stop, people normalize and then you'll get -- people just not lending for needs rather than just lending for liquidity. So it won't be -- and we're -- obviously, we're coming closer to that balance sheet limit. It won't be -- we won't have like historic 20% growth, but we'll have some growth, but it won't be as dramatic as we previously had until things really normalize. Once they normalize, we'll go back to the previous trend, likely.
Frank Schiraldi: Okay. And then finally, I just wondered if you could talk about things that you're doing to protect margin here as we perhaps come to the peak of this rate cycle. And what sort of margin reaction do you expect if we get a rate cut or two at the end of 2023 or into 2024?
Damian Kozlowski: Yes. So as Paul was saying, we've totally opened our balance sheet to the variable side. And we thought there would be -- this was more dramatic than we expected but we really thought there was going to be a rise -- ultimately a rise in interest rates. But we've left and are pivoting very quickly. We have a project in place called Project Flex. So we're going to put on a lot of fixed rate exposure. We have a fixed rate program now in our CRE business. We're putting on more fixed rate exposure in our commercial business. And then we -- once again, we haven't bought a bond. One easy way to do it is simply to lock in forward rates through 3-, 5-, 7- and 10-year agency securities. So we're very aware of the situation and we're going to significantly lower the variable part of our balance sheet as we peak out at rates. I think we came into this. When we started this process, we were more like 55% variable and that's -- with the growth of those variable rate businesses, it went up and we didn't buy any fixed rate exposure. So now we just have to turn that around. And the good thing is, as rates drop, of course, balances will go up in things like the IBLOC, SBLOC area. So we run those models. We're going to soften the impact of those interest rate changes. And we're in a really great position because we've got plenty of room to do that. So we're forecasting that and we'll be able to lock in, I think, an increasing amount of fixed rate exposure. One thing to note, our financials today do not account for bond purchases. So one thing to note that we haven't even built that fixed rate exposure on the bond side into the 320 earnings per share estimates.
Frank Schiraldi: Okay, all right. That's helpful. And just as you're thinking about fixed rate exposure in the loan book, can you talk about what sort of products are you looking at? Or are you thinking about permanent financing on the multifamily side?
Damian Kozlowski: Not perm, but there is a market because of -- for the fixed rate side and the CRE transitional loans. So especially at lower dollar numbers because interest rate caps have become very expensive. So we require interest rate caps on our loans to protect against the volatility in interest rate and usually have reserves. So we've -- there's not a lot of programs out there on the fixed rate side for these transitional loans. So it's been -- we've already done over $50 million and we just launched it just recently. So that will give you a three-year cushion. And I'd also remind you that we have floors on all our -- one of the great things about our portfolio, it's variable on the upside, but a lot of it is not variable on the downside. So we have floors in all the loans on the CRE side. So even if we do get a significant downdraft on the Fed side, those rates won't be significantly affected.
Operator: [Operator Instructions] Your next question comes from Michael Perito with KBW. Please go ahead.
Michael Perito: I wanted to follow-up on that kind of margin line of questioning a little bit and maybe drill down on the liquidity position a bit more specifically. Damian, I know you mentioned some high-level stuff. But so would you guys say it's fair for us to assume that over the next 6 months or so, the excess cash position you guys will probably start putting to work a bit more on the bond book side? I mean I think it's been what, like three years since you bought a bond which obviously looks really good now. But just curious kind of functionally how we should think about the investment portfolio? Does it kind of trough out here in the next quarter or two and then start growing? Or what you guys are thinking there?
Damian Kozlowski: Yes. Well, we -- we're really -- it's almost a daily thing. We're watching everything, the yield curves, everything. We have so much flexibility in our balance sheet because we have plenty of ways to get deposits and we have plenty of room up to the Durbin limit. So we really are deciding exactly how much fixed rate exposure we're going to take and when we're going to take it to lock in. We might give up a little margin but we're not going to give up a lot. And we also have, like I said, floors on all the CRE loans which protect us for three years. So we're really dealing with that SBLOC portfolio, which is the one without floors that really adjusts very quickly with interest rates. And those are -- if you recall, those are all demand loans on top of it. So not that we're going to demand loans. It's just that in every scenario, we've got an incredible amount of balance sheet flexibility to put on fixed rate exposure. So -- and if you look at our loan yields, that's the lowest yielding portfolio. And in our higher coupon portfolios, we actually have fixed rate protection in there. So we're in a very good position and able to flex the balance sheet in order to put on a lot more fixed rate exposure.
Michael Perito: That's very helpful. And then on -- just on loan growth, where are the pipelines kind of act today in the various business lines? And was any of the slowdown this quarter, I don't want to say intentional, but I think there was some good catch-up on the deposit side. The balance sheet looks a little bit better positioned here to support some growth in 2023. Just curious kind of what some of the dynamics were there and your near-term expectations around loan growth?
Damian Kozlowski: Yes. Well, we did have some catch-up, you're right. And that's actually economically helps us. It wasn't purposeful though. We're not stretching though. I mean, we're not stretching at all on credit quality. So when you get in times like this when volumes get low, people get a little bit to -- there's been some announcements about people getting into commercial and that's not the time to do it probably. We're just being very, very careful. We're underwriting to the standards we've always underwritten to. The market is being affected by rates, but we still have -- we had strong growth in leasing. There is a big backlog in car delivery still for the commercial side. You're being very careful on -- while we have the government guarantees on the SBA, that's has slowed down because the interest rates have jumped so much and people don't know if they want to invest in new businesses. But even if we went through 2023 with even a flat or up 5%, 10% that really will still meet our expectations at the earnings per share. So I think we're in a really, really -- there's a lot of upside potential. If we get trend growth, obviously, there would be significant upside potential. We've been very careful with our guidance. We've scenario planned it out and looked at a lot of -- we've left a lot of things out by historic growth. We've left out bonds. We're obviously getting -- I mean, I talked a few earnings calls before and we were kind of in the 4% range where we thought this would top out on our NIM. And we've flown right past that. And during this quarter, we've had increasing -- significantly increasing net interest income, while our GDV has restored to trend. So there's a lot of green lights here. And we're going to have a lot more information in January. And by the end of the first quarter, we're going to know a lot. And then if we have to adjust guidance and take a hard look at, we'll also know a little bit more about rates. So I think it's going to be an exciting quarter and I want to know what it is and I know you do, too.
Michael Perito: And then just lastly for me. I mean, you guys have held expenses flat for almost 2-plus years now. Obviously, you guys kind of have a structurally higher profitability outlook with this NIM, north of 4%. I know you have initiatives you're working on. I think there has been a little disruption on the customer side because there's some regulatory actions to competitors. Just curious, is there any -- as we think about the rate of investment and the OpEx growth, I mean, is there room for that to grow a bit more this year than it has in the past 2 years. Did you guys see some opportunities? Or how should we be thinking about that?
Damian Kozlowski: Well, we're always focused on efficiency productivity but the one thing -- there is core inflation, there's no doubt. And that's -- that will affect us next year. One of the area is just employee cost. So we've been -- I mean we've got now 4, almost 5 years, basically with flat expenses. I mean, if you look on a historic basis and that's all been the restructuring of different things that we've done on the operational side. I think you'll see from a historical perspective, we're not going to be zero. We're not going to be at 2%. We really want to continue to invest in our people. And while the regulatory side isn't our issue because there's been so much investment in that side of our business, that's not where the cost is going to come from. It's going to come from the embedded core inflation. Now we're obviously benefiting from rate price and inflation in our GDV and everything else. So I think this is a year that you'll still get a big differential. You're going to have a big differential between revenue growth and expense growth. But you'll have above what our trend has been which has been flat, above that trend. We'll have at least 10% jaws between revenue and expense, will probably be significantly more than that but you won't see flat expenses this year due to -- mostly due to employee costs and core inflation.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call over to Damian Kozlowski for closing remarks.
Damian Kozlowski: Thank you, operator. It's been -- it was a really good quarter for us. We made a lot of progress. As I said, we're looking forward to the next quarter to really tell us a lot more about 2023. So as we get information, we will continue to talk with everyone on the phone. And when we get to the end of the first quarter, I think we'll have a lot more information to share about how 2023 might ultimately end on the metrics in which we measure this business. So thank you, everyone and have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.